Operator: Good day, and welcome to the FCPT Fourth Quarter 2020 Financial Results Conference Call. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note this event is being recorded. I would now like to turn the conference over to Gerry Morgan. Please go ahead.
Gerald Morgan: Thank you. During the course of this call, we will make forward-looking statements which are based on beliefs and assumptions made by us. Our actual results will be affected by known and unknown factors, including uncertainty related to the remaining scope, severity, and duration of the COVID-19 pandemic that are beyond our control or ability to predict. Our assumptions are not a guarantee of future performance, and some will prove to be incorrect. For a more detailed description of potential risk, please refer to our SEC filings, which can be found at fcpt.com.
William Lenehan: Thank you, Gerry. Good morning. Thank you to everyone for joining us to discuss our fourth quarter results, which we are very pleased with in terms of continued strong collections, high acquisition volumes, meaningful equity capital raised, and the continued growth of the FCPT team. While this pandemic period has been one of the most challenging operating periods for the restaurant industry overall, it is important to distinguish between different restaurant types, and specifically the kind of properties that Four Corners owns. Our buildings are typically suburban and are not located in central business districts of large cities. They are not one-off concepts, but instead are a part of large, branded companies who are often publicly traded enterprises. These restaurant operators have proven resilient in adjusting their business models. Our casual dining tenants remain in rebound mode, but our QSR tenants are often reporting results above pre-COVID levels. We are watching with interest the stimulus discussions, in Washington, that could result in the significant federal support in the restaurant industry as well as the end consumer. As we have seen with our Kerrow Group, Garden, and other casual dining operators, EBITDA margins have improved because of simplified menus, lower levels of dining room staffing, higher profitability for to-go businesses, investment in technology, and a significant focus on overhead efficiency. Our collections at quarter end, we had collected 99.7 of scheduled 2020 rents, that is an impressive accomplishment for our tenet operators and for our team who had worked hard engaged with our tenants this year. We continue to see strong collections in this range for 2021 to date. We are working with tenants in three locations representing less than 0.2% of portfolio rents to either modify their lease or terminate and then release the building. Otherwise, we are not seeing rent deferral requests from our tenants, but instead are spending time with them on potential expansion opportunities in connection with our joint venture. Our Kerrow subsidiary in San Antonio, which operates the six Longhorn Steakhouses, continues to also be impacted by COVID restrictions. Kerrow provides a wonderful window and real-time understanding into what our tenants are doing to adapt. The Kerrow team's hard work resulted in return to profitability in the third quarter, with positive EBITDA of $110,000, and an increase in profitability in the fourth quarter, to positive EBITDA of $244,000. My thanks to Carol Dilts and her team, who run these restaurants, and have shown this year how skilled and committed they are.
Gerald Morgan: Thanks, Bill. We generated $40.1 million of cash rental income in the fourth quarter after excluding $1.6 million of straight line and other non-cash rent adjustments. As Bill mentioned, we reported 99.7% of collections for 2020 as of yearend. One caveat to this collection result is that it includes $1.6 million of second quarter rent in the collected rental revenue totaled which we abetted in return for favorable long-term lease modifications and other extensions. Including the abetted rent, in-rental revenue totaled is required by GAAP revenue accounting, but to remind everyone we did not include these amounts in our reported AFFO. Excluding the abetted rent, our collection results for 2020 were 98.7%, so, still very high. With these results, there were no material changes to our collectability or credit reserves in the quarter. And we also had no balance sheet impairments in the quarter. On a run rate basis, the current annual cash based rent for leases in place as of December 31, 2020 is a $156.0 million. And our weighted average 10-year annual cash rent escalator is 1.44%. As a reminder, the rent on all of the original Garden leases increased by 1.5% on November 9th this quarter. You will also see that we have estimated the rent coverage for the Garden leases in our portfolio at 4.3 times for their quarter ending November 29, 2020 and even though their sales were down over 20% year for this quarter. This estimate is calculated by using Garden’s reported sales on our portfolio to us, and Garden’s brand average margins for the same time period to estimate EBITDA. This result evidences for low rent and room we have on have rent collection in our portfolio. We have excluded coverage estimates for the non-Garden portion of the portfolio since much of the re-financial reporting still includes time periods prior to COVID-19 and may not be representative of current tenant operations. It’s our expectation that tenant operations will normalize this year and we will see rent coverage return to its historical levels over time. Our fourth quarter AFFO per share results of $0.37 represented $0.01 per share increase in year-over-year results. Over 70% of the $103.4 million of acquisitions in the quarter were closed in December. Much of that toward the end of December and all these properties will contribute to AFFO in Q1 for the full quarter. We ended the quarter with $10 million balance on our revolver and $240 million of availability and $11 million of cash reserves. Our leverage metrics improved in the quarter given the equity capital raising with a fixed charge coverage of 5.1 times in the fourth quarter and net debt to EBITDA of 5.2 times. I would estimate we are closer to 5.0 times leverage at the year-end run rate EBITDA. This sets us up well from a capitalization standpoint going in to 2021, and to remind everyone we are committed to maintaining net debt leverage targets below 5.5 to 6 times. Finally, we paid an increased dividend for the quarter of $0.3175 or $1.27 on an annualized basis, which represented a 4% increase over the prior quarter.
William Lenehan: Thanks, Gerry. In conclusion, we are very happy with the fourth quarter results and for the year-end total. 2021 is off to a very good start, and we are working extremely hard. As always, we are available to answer any questions on the quarter or the portfolio, so please reach out. With that, we will turn it back over to the operator for Q&A.
Operator: We will now begin the question-and-answer session.  The first question comes from Nate Crossett with Berenberg. Please go ahead.
Nate Crossett: Hey, good morning, guys.
William Lenehan: Good morning.
Nate Crossett: Was wondering if you could just give a little bit more color on how the pipeline looks right now? And maybe you can just remind us how much is left between Seritage and Brookfield? And could there be more of these kind of outparcel agreements that are initiated this year?
William Lenehan: Sure. There are significant properties with Brookfield, with Seritage, with Washington Prime, et cetera. But we also have a robust pipeline with other -- with one-off deals in other portfolios, and a significant mix of non-restaurant as well, so making a ton of progress. We don’t give specific pipeline numbers, but as I said, we've been quite busy and making a lot of progress. And it's very granular actually at this point, lots of individual transactions, so that gives us some comfort that we're not resting on a single transaction.
Nate Crossett: Okay. But I guess my question is how much is left on the agreements that you guys have announced in the past, like…
Gerald Morgan: Nate, yes, it's about $45 million as of the end of the year.
Nate Crossett: Okay.
Gerald Morgan: Of deals that we've announced, but not yet closed.
Nate Crossett: Okay, cool, that's helpful. Thank you. So, on the JV, it sounded like things are progressing quite quickly. I was just curious how you expect the amount that was initially disclosed, like when could we expect that that would get deployed, versus kind of your initial expectations? Are things progressing quicker than you initially thought or…
William Lenehan: Yes, I think we're making a ton of progress. As I said, Lubert-Adler really brings a lot to the table, and we made really good progress. Lots of properties to look at, it really is a matter of pricing. A lot of sellers are holding on to pricing that would only be appropriate if you were a user. So we think that will change over time. But I am very excited with how it's going. And I think we're going to end up finding a lot of good properties. And again, the conversations with the tenants we've been having have been very productive. So, in and of itself, that was -- made the whole effort worthwhile.
Nate Crossett: Okay, I'll leave it there. Thank you.
William Lenehan: Thanks, Nate.
Operator: The next question comes from Sheila McGrath with Evercore ISI. Please go ahead.
Sheila McGrath: Yes, good morning. Bill, I was wondering if you could give us a little more detail on the ground lease transactions. It appears that 40 out of 100 properties were ground leases. Are those all mall outparceled?
William Lenehan: Yes, and Sheila, great question. I think we said about 45% were ground leases. Many of the other that aren’t ground leases have very low rents, so share a lot of the attributes to ground lease. Yes, the shopping center and mall outparcels are very often ground leases. And it's a lot of work for a small amount of dollars deployed, but very low rents and very sticky tenants. And so when you have a year like we've just had they tend to pay, which is huge benefit. And that's one the reasons our collections are so high. But continue to focus on that strategy. We've bought a lot of ground leases over the last handful of years. And I think overall, very happy with that strategy over the long-term. And we've even seen some that have had lease maturities come up having rents roll-up to higher market levels.
Sheila McGrath: And because you have to do the extra work of often like outlining the parcel, or whatever the terminology is, do you limit the competition because it requires a lot more effort on your part?
William Lenehan: Indeed, and in fact, we've now had a handful of deals that other of our public competitors have signed up to do. They've dropped out after they realized how much work is to complete these deals. And we've taken them on. So again, lots of work, credit to Jim Brat, our Chief Transaction Officer for being super organized and having the knowledge to do this, lot of work up front. There's a lot of value over time.
Sheila McGrath: And last one, are the cap rates on those transactions similar to the average that you’ll report for all acquisitions?
William Lenehan: Yes.
Sheila McGrath: Okay, thank you.
William Lenehan: Thanks, Sheila.
Operator: The next question comes from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone: Thanks. I guess just following on Sheila's question, I guess as you think about doing some of these transactions with small operators and other shopping center owners, just like what's their continued motivation to do these deals, I mean your yield seem to be pretty strong. The credit seems to be pretty strong. How are they looking at these?
William Lenehan:
Anthony Paolone: Okay. And as you're looking at the pipeline, outside of the deals, that that are teed-up and were put in place previously, do you think you'd be able to keep yields in the same range you've been running them?
William Lenehan: Seems a great question, it wouldn’t surprise me if yields come down slightly, but I would also just point out short, the cost of debt has declined very, very significantly over time as well. So the relative yields, we would expect to stay relatively flat.
Anthony Paolone: Okay, and then the tenant expansion, you've talked about that a bit? Can you talk about just, what your conversations are like on that front where the real estate solution comes into play, and just how quickly that that's going to play a role in things?
William Lenehan: I think there's a handful of different routes there. One is simply where rents were super, super low, 1%, 2% rent sales, we increased the rents and gave them proceeds, but still kept rents in 3% to 4% rent sales, just super safe. And then in other cases, it was remodeled capital. And I think over a long period of time, we’ll see a lot of casual dining restaurants try to reconfigure their space to accommodate to go percentages that were single digits that now, post-COVID might be 25% to 30% and accommodate brands within a brand. For example, it's just wings concept that Brinker has rolled out, I think those changes to the business model and how the boxes used may manifest in actual changes to the box. And because our rents are so low and we have very good credit tenants, we can help finance them, typically with the lease extension as part of the bargain.
Anthony Paolone: Okay, and then just last detail question, the joint venture, is your $20 million commitment, was that all funded already, or do you put that in as you go?
William Lenehan: Just carry on as we go.
Anthony Paolone: Got it. Thank you.
William Lenehan: Yes, thanks.
Operator: The next question comes from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning, guys.
William Lenehan: Good morning, Rob.
Rob Stevenson: The 98.7% collect excluding the abated rent, what types of tenants are those? Is there any commonality there by operator or concept, is it what's the commonality there?
William Lenehan: Let’s start with 68% being Darden and then a good chunk in being Brinker. So that those two get you approaching, so excuse me, approaching 80%. But basically everyone's pay that the few exceptions are really one-off, there's not a commonality. One was a brand that had credit issues and closed down an entire region, so a multi-state region.  So we had a really good building with low rents that we'll be able to release without much issue, I don't imagine. I think closed down the entire region of the country. So one of our properties was caught up in that and stuff like that, but it's a handful of buildings... 
Rob Stevenson: Okay, all right. Perfect. And then from the - you guys are basically essentially fully occupied, the assets or assets that - the couple of assets that you have that are not occupied at this moment. How is the releasing of those going? Are they more likely at this point to be sales? You still think that keep them in retained at them. Help us give us some color there, if you wouldn't mind.
William Lenehan: Sure. Well, we had one empty building that we already sold. We actually sold it for a game. So it was sort of more advantageous for us to sell it and book the game then to go through the effort of releasing it. We have one building that we will definitely release. We're in advanced discussions with one of our existing large tenants to take the building. I think it's situational, but it's literally a building or two and we're making good progress in any case. 
Rob Stevenson: Okay. And then last one for me, Gerry, when you guys raised the dividend, how close to minimum repay out were you before that increase.
Gerald Morgan: Not close. We're very comfortably over the minimum, even without the increase. 
Rob Stevenson: Okay. Thanks, guys. Appreciate it.
William Lenehan: Yes, welcome.
Operator: The next question comes from John Massocca with Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning.
William Lenehan: Good morning.
John Massocca: I guess building on some of the earlier conversations around out-lots. I mean what's kind of the expectation maybe for new out-lots transactions, next year, I mean how deep is that potential transaction-based, even you're probably not turning over a lot of new leads on that front, maybe what gets other landlords kind of over the finish line?
William Lenehan: Great question, I mean it's not infinite obviously. But I think what we've found is every time we thought we were done with our partial strategies, we found another counterparty or additional properties with our current counterparties Seritage as an example is active and leasing, and we are doing our best to be their go to as they leased up properties. So I think we still have quite a ways to go in this. And where I had defined this opportunity in the early days was way too narrow. And as small companies engage in transactions, M&A, there's some restructuring those types of things try tend to create partial deals. So we'll continue to focus on it. I think we've really developed a core competency to be able to get these buildings to be in a situation where we can buy them. And we've proven out the strategy. So I think it's something around $300 million that we've either done or have under contract to do so, it's meaningful for the company.
John Massocca: Okay. And then maybe on the other side of the kind of investment platform, there's been some conversation around M&A activity on a QSR side in terms of operators that might create some sale leaseback opportunities. Is that something you think FCPT can play in or do you think pricing maybe would be too rich, even on larger transactions that come out of that type of M&A?
William Lenehan: Yes, the big one obviously for 2021 will be the convenience store transactions driven by M&A. And so we look at everything we see all the deals, it really comes down to pricing. And we have some competitors who - private competitors who will use 80% financing or structured ABS financing. And I think the values that they play out are not realistic for us, but that's okay. There's plenty for us to work on. And when people make sure you've closed that's where we really shine.
John Massocca: Okay. Well, it sounds like pricing pressure is kind of at both the granular level for individual assets and even up to some of the bigger portfolios…
William Lenehan: I think that’s correct.
John Massocca: I guess that's it for me. Thank you very much.
William Lenehan: And on the investment group side more generally.
John Massocca: Okay.
Operator:  The next question comes from Peter Hermann with Baird. Please go ahead.
Peter Hermann: Hey guys, there are multiple ports out there that Steak 'n Shake as higher to be structuring, advice and looks like they’re taking on some water. If they were to file and reject stores, would you look to contribute those vacant properties to the JV?
William Lenehan: Yes.
Peter Hermann: Okay. And then, the next one I have is, do you guys expect to continue funding acquisitions to the higher percentage of new equity going forward in 2021 as well?
William Lenehan: It’s a great question. We try to be price sensitive when we raise equity. And so it really depends on our stock price, which I can’t predict, but we had some interest in our stock price in December and prices that we thought made some sense. And so, we were active again, very price dependent, and we modulate given our pipeline again, always trying to be conservative with our balance sheet.
Peter Hermann: Got it. That’s it for me. Thanks guys.
William Lenehan: Yes, thanks.
Operator: This concludes our Q&A session. I would like to turn the conference back over to Bill Lenehan for closing remarks.
William Lenehan: Thanks everyone. 2020 was a difficult year. Our team really responded. Thank you to our board and to our shareholders. If anyone has any questions, please feel free to reach out. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.